Operator: Good day, everyone. Welcome to the Reliance Global Group First Quarter Business Update Conference Call. At this time, all participants have been placed on a listen-only mode. The floor will be open for your questions and comments after the presentation. It is now my pleasure to turn the floor over to your host, Ted Ayvas, Investor Relations. Ted, the floor is yours.
Ted Ayvas: Thanks, Kelly. Good afternoon, and thank you for joining Reliance Global Group's 2025 first quarter financial results and business update conference call. On the call with us today are Ezra Beyman, Chairman and Chief Executive Officer of Reliance Global Group, and Joel Markovits, Chief Financial Officer of Reliance Global Group. Earlier today, the company announced its operating results for the quarter ended March 31, 2025, and the press release is posted on the company's website, www.relianceglobalgroup.com. In addition, the company will be filing its quarterly report on Form 10-Q with the US Securities and Exchange Commission, which can also be accessed on the company's website as well as the SEC's website at www.sec.gov. If you have any questions after the call and would like any additional information about the company, please contact Crescendo Communications at 212-671-1020. Before Ezra Beyman reviews the company's operating results for the quarter ended March 31, 2025, we would like to remind everyone that this conference call may contain forward-looking statements. All statements other than statements of historical facts contained in this conference call, including statements regarding our future results of operations and financial position, strategy and plans, and our expectations for future operations, are forward-looking statements. The words anticipate, estimate, expect, project, plan, seek, intend, believe, may, might, will, should, could, likely, continue, design, and the negative of such terms, in other words, in terms of similar expression, are intended to identify forward-looking statements. These forward-looking statements are based largely on the company's current expectations and projections about future events and trends that it believes may affect its financial condition, results of operations, strategy, short-term and long-term business operations and objectives, and financial needs. These forward-looking statements are subject to several risks, uncertainties, and assumptions, as described in the company's Form 10-K filed with the US Securities and Exchange Commission. Because of these risks, uncertainties, and assumptions, the forward-looking circumstances discussed in this conference call may not occur. Actual results could differ materially and adversely from those anticipated or implied in the forward-looking statements. You should not rely upon forward-looking statements as predictions of future events. Although the company believes that the expectations reflected in the forward-looking statements are reasonable, it cannot guarantee future results, level of activity, performance, or achievements. In addition, neither the company nor any other person assumes responsibility for the accuracy and completeness of any of these forward-looking statements. The company disclaims any duty to update any of these forward-looking statements. All forward-looking statements attributable to the company are expressly qualified in their entirety by these cautionary statements as well as others made on this conference call. You should evaluate all forward-looking statements made by the company in the context of these risks and uncertainties. Having said that, I would now like to turn the call over to Ezra Beyman, Chairman and Chief Executive Officer of Reliance Global Group.
Ezra Beyman: Thanks, Ted. Good afternoon, and thank you to everyone for joining us today. I'm pleased to report that we are starting off 2025 on a strong note with improved financial results that build on the solid momentum we have established in 2024. We have seen meaningful growth in our organic revenues, which speaks to the progress we are making in expanding our market share. At the same time, we significantly reduced our net loss and delivered an increase in EBITDA. These gains reflect the continued benefits of our disciplined financial approach, the efficiency we have achieved through our streamlined one firm operating model, and the absence of impairment charges that impacted last year's results. Altogether, the momentum we are seeing has strengthened our foundation and positions Reliance Global Group for scalable long-term growth with greater profitability. One of the most exciting developments this quarter is the launch of Relay Auto Leasing, a transformative new service that enables our Relay exchange agency partners to offer vehicle leasing to clients. Any vehicle delivered to any location in the US earns commissions on both the lease and the bundled insurance policy. The service is fully integrated into the agent dashboard, requiring no additional training in Auto Finance. Agents now can guide clients through leasing options during standard policy consultations, whether for new vehicles or replacements after accidents. Clients benefit from competitive pricing, nationwide delivery, and advanced insight into how different vehicles may impact their premiums. This integration deepens client relationships and introduces a powerful recurring revenue stream for our partners. Early feedback from agents has been outstanding, and we believe this innovation further distinguishes Reliance Global Group as the complete solution for independent agencies. We are also nearing completion of the Spatner Associates acquisition, a strategic transaction that will expand our market footprint and enhance our agency network. Spatner brings deep experience in personal and commercial lines along with strong relationships and a proven team of agents. Their integration will add scale, complement our existing capabilities, and create immediate cross-selling opportunities across Reliance Exchange offerings, particularly Quote and Buy and Reliance Auto Leasing. We expect this acquisition to contribute meaningfully to both revenue growth and margin improvement through synergies, and we view it as a significant step toward our InsurTech growth strategy. With these milestones, Relay Auto Leasing, the continued enhancement of our Quote and Buy platform, and the upcoming Spatner Associates integration, we are more confident than ever in our trajectory towards scalable long-term growth. Each initiative adds meaningful dimension to our strategy, expanding services for our agency partners, increasing revenue opportunity, and strengthening our presence across key markets. Relay Auto Leasing introduces a powerful new offering that allows agents to better serve their clients while generating additional income. Our Quote and Buy platform continues to streamline the insurance process through automation and expanded carrier access. Meanwhile, the integration of Spatner Associates is expected to broaden our footprint, complement our capabilities, and create valuable cross-selling opportunities across the platform. Together, these efforts reflect our ongoing commitment to innovation, disciplined growth, and shareholder value. We look forward to building on this momentum as we move through 2025 and beyond. I would like to now turn the call over to Joel Markovits, Chief Financial Officer of Reliance Global Group, to review the financial results for the quarter ended March 31, 2025.
Joel Markovits: Thank you very much, Ezra, and good afternoon. It will be my pleasure to share with you some of our key financial highlights for the quarter ended March 31, 2025. All figures presented are approximate. Commission income increased by $154,000 or 4% to $4.2 million in Q1 2025 from $4.1 million in Q1 2024. The 4% increase reflects encouraging continued organic growth across our insurance distribution channels. Commission expense increased by $200,000 to $1.5 million in Q1 2025 compared to $1.3 million in Q1 2024. The increase reflects higher payouts to agents in line with the increased revenues. Salaries and wages increased by $400,000 to $2.2 million in Q1 2025 compared to $1.8 million in Q1 2024. The $400,000 increase is primarily due to non-cash equity awards in the amount of $540,000. By removing the impact of these non-cash equity charges, salaries and wages actually decreased quarter over quarter, a testament to cost efficiencies deployed by the company while still being able to grow revenues. General and administrative costs increased by $140,000 to $1.5 million in Q1 2025 compared to $1.4 million in Q1 2024, primarily due to $485,000 of non-cash equity payments to certain of the company's directors and service providers. When removing the impact of these non-cash equity charges, general and administrative costs show an increase quarter over quarter, a reflection of management's disciplined approach to cost controls and the success of our OneFirm business model. Net loss decreased by $3.6 million or 68% to $1.7 million in Q1 2025 versus $5.3 million in Q1 2024. This substantial 68% improvement is a result of no asset impairment charges during our current quarter and the company continuing to remain laser-focused on streamlining its operations, increasing its revenues, and controlling its costs. EBITDA, our adjusted EBITDA metric, a non-GAAP measure by key company performance indicator, improved significantly by 300% in Q1 2025, from a loss of $74,000 in Q1 2024 to a gain of $145,000 in Q1 2025, a $220,000 increase. This marks another quarter of equity gain for the company and demonstrates our continued trend towards sustained and increased profitability. In summary, as mentioned by Ezra, we have gotten off to a very good start in 2025 with exciting organic growth in our revenues, decreasing cash operating costs, and increasing net EBITDA gains. With our scalable operating model, focused on innovation and expansion of our market footprint by organic and acquisitive growth, we remain firmly committed to continuing to build a highly profitable business enterprise that delivers long-lasting value to our employees, investors, and shareholders. We will now turn the call back to the operator to open the line for questions, comments, and or feedback. Operator?
Operator: Certainly. The floor is now open for questions. If you have any questions or comments, please press star one on your phone at this time. We ask that while posing your question, you please pick up your handset if listening on a speakerphone to provide optimum sound quality. Please hold a moment while we poll for any questions. Your first question is coming from Nicole Kaufman at Blackridge Capital. Nicole, please post your question. Your line is live.
Nicole Kaufman: Good afternoon, gentlemen. Thanks for taking my questions, and congrats on the positive quarter. My first question is related to the Spatner acquisition. So once this is complete, can you share some insights into the key benefits it will bring to Reliance Global Group?
Ezra Beyman: Yeah. Sure. We are excited about that. Well, God willing, it first of all brings us to a very important, you know, significant increase in EBITDA positivity, you know, profitability. Also doubles our revenue, and that does not even take into account the amazing and tremendous cross-selling potential. Remember, they service already 5,000 employees, and we have many insurance products that they have not had access to till now, so we really see that as a tremendous potential as well. Aside from the intrinsic on day one, you know, increase in profitability and revenue. But we are really excited about it.
Nicole Kaufman: Well, thank you for that. And then going into adjusted EBITDA, so congrats on achieving positive adjusted EBITDA again. Obviously, this is an important milestone. What were the key drivers behind the positive adjusted EBITDA in the first quarter? And how do you see it trending moving forward?
Ezra Beyman: So I think the, I mean, it is really a multi-approach, not just one. You know, focusing, like Joel mentioned, on the one firm approach, streamlining expenses where we can, and, of course, pay different agencies. Also, you know, cross-selling and offering more selling abilities to both our in-house agents and the downline agents. And we are, of course, focused also on, you know, good old-fashioned, not wasting money, trying to be cost-conscious. We know as time goes on, you see where to spend the money and where not to waste money. A combination of increasing revenue, as you actually show it on the reducing expenses, and we look forward actually with today more and more technology available to in all these areas to improve. You know, we will probably see even more exciting increases.
Nicole Kaufman: Well, thank you very much. I appreciate that insight. If I have another question, I'll hop into the queue. Thank you.
Ezra Beyman: Great. Thank you very much.
Operator: Once again, if there are any remaining questions or comments, there are no additional questions in queue at this time. I would now like to turn the floor back over to management for any closing remarks.
Joel Markovits: Thank you. On behalf of Ezra and the entire Reliance Global Group team, we appreciate your participation in today's business update. We are very enthusiastic about the horizon for Reliance Global Group and grateful to you, our valued shareholders and stakeholders, for being with us on this onward journey together. Thank you, and all the very best.
Operator: Thank you, everyone. This does conclude today's conference call. You may disconnect your phone lines at this time, and have a wonderful day. Thank you for your participation.